Operator: Good morning, and welcome to the Ares Commercial Real Estate Corporation's conference call to discuss the company's third quarter 2014 earnings. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded on November 10, 2014. Comments made during the course of this conference call and webcast in the accompanying documents contain forward-looking statements and are subject to risks and uncertainties. Many of these forward-looking statements can be identified by the use of words such as anticipates, beliefs, expects, intends, will, should, may and similar expressions. These forward-looking statements are based on management's current expeditions of market conditions and management's judgment. These statements are not guarantees of future performance, condition or results and involve a number of risks and uncertainties. The company's actual results could differ materially from those expressed in the forward-looking statements as a result of number of factors including those listed in its SEC filings. Ares Commercial Real Estate Corporation assumes no obligation to update any such forward-looking statements. Please also note the past performance or market information is not a guaranteed of future results. I will now turn the call over to Todd Schuster, Acres' President and CEO. Please go ahead, sir.
Todd Schuster: Thank you, Chad, and good morning, everyone. I'm joined today by Tae-Sik Yoon, our Chef Financial Officer, and John Stilmar from Investor Relations. This morning, we reported third quarter earnings of $4.1 million or $0.14 per common share, which was comprised of $4.9 million in earnings from our principal lending business and an $800,000 loss from our mortgage banking unit. Our principal lending business performed in line with our expectations after considering the impact from loan prepayments, discussed on our last earnings call. However, we experienced the shortfall in production within mortgage banking that created a setback in earnings. While our third quarter mortgage banking results did not meet our expectations, the benefit from the repositioning of the business are becoming more evident in the fourth quarter. As a result, we expect the fourth quarter to demonstrate stronger ACRE Capital production and earnings. When combined with the anticipated rebound in earnings from our principal lending business, we expect to cover the dividend in the fourth quarter. Let me put all of this into context. Our focus is on building a leading, full-service commercial real estate lender that delivers attractive returns and dividends with prudent investing and capital management. Since our IPO, we've built a strong portfolio of directly originated loans totaling over $1.2 billion. Our direct origination footprint along with our capability to invest across the capital structure, allows us to originate attractive assets, while optimizing the returns using a variety of financing sources. We have enhanced our business by extending into new products and diversifying our revenues, including the addition of our GSE focused mortgage banking platform. In today's competitive market, we believe these attributes are paramount in building a successful and sustainable full service real estate lending company. During the third quarter, our principal lending business was very active, originating $235 million of new senior floating rate loan commitments in seven different transactions. All of these commitments where in primary, established commercial real estate markets. Furthermore, consistent with our plan to deliver stable returns through various cycles, 84% of these commitments were collateralized by multi-family and office properties. We continue to have a balance of growing relationships with new borrowers, while simultaneously leveraging incumbent relationships, as about a-third of the new principal loan originations in the third quarter came from repeat customers. Our ability to control our origination process also affords us the ability to be disciplined around portfolio construction. Our portfolio is geographically diverse. It continues to perform very well from a credit perspective. Furthermore, 95% of our loan portfolio is comprised of floating rate assets, which are match funded with floating rate liabilities. As a result, when short-term interest rates rise, we expect a corresponding lift in earnings. As we continue to build a highly attractive principal loan portfolio in the quarter, earning within principal lending had a modest sequential decline, given the prepayments that we discussed with you on our prior earnings call. The impact of prepayments was particularly acute as they occurred earlier in the quarter as compared to our new investments, which closed towards the end of the quarter. Furthermore, most prepayments came from loans that were in our 2013 securitization, which deleveraged our balance sheet, as the proceeds went to repay the senior bonds in the structure. These factors drove lower third quarter earnings for principal lending. So far in the fourth quarter, we have not had any prepayments. We do anticipate prepayment activity late in the fourth quarter. However, we anticipate that such activity will closely align with the timing of new loan originations. Therefore, the overall impact to earning should be minimal. Furthermore, the fourth quarter will benefit from a full quarter of earnings from loans originated late in Q3. As a result, we expect fourth quarter earnings from our principal lending business to rebound to second quarter levels. Shifting to ACRE Capital. The $800,000 loss was driven by production for the quarter that is well below our goal for the business. We have been pushing to stabilize the production levels by the second half of this year, and more specifically for the fourth quarter. Regardless, third quarter loan production was disappointing, and in hindsight, we were a quarter behind in our efforts to stabilize production. However, given the investment in and enhancements to our production and servicing groups combined with the receipt of the Freddie Mac license in August, we have added meaningful value to ACRE Capital and we expect that value to be reflected by increased production and earnings, starting in the fourth quarter. More specifically, based on the strength and advanced stages of our loan pipeline, along with loans originated to date, we expect ACRE Capital to achieve record levels of production in the fourth quarter, ranging between $200 million $250 million. Further aiding this outlook is the completion of ACRE Capital servicing platform transition. Since acquiring ACRE Capital we have enhanced the servicing infrastructure and relocated the platform to Plano, Texas, to better accommodate the growth that we expect in the business. As this migration is now complete, we expect ACRE Capital to garner $250,000 to $500,000 of quarterly expense savings, starting in the fourth quarter. Lastly, we have communicated our goal of covering our dividend from earnings by the end of the year. I am pleased to say that we are on track to execute against this goal, as we estimate that we will earn a range of $0.25 to $0.28 per share for the fourth quarter. This estimate is in part based on achieving between $200 million to $250 million of originations in our mortgage banking business, of which $51 million has already been achieved so far in the quarter. In addition, other factors such as the timing and returns on projected originations in the principal lending and mortgage banking segments and the timing in amounts of prepayments in the principal lending segment could cause a possible variance to this projection. This of course would not include any unforeseen extraordinary or one-time items that may impact our result, including significant volatility in interest rates. Going forward, we do not plan on providing quarterly earnings guidance on a regular basis, as we believe investors should evaluate our business and our dividend paying capability over longer periods of at least annually. With respect to dividends, our board declared a fourth quarter dividend of $0.25 per common share consistent with our historical quarterly dividend level throughout 2014. I would like to turn the call over to Tae-Sik Yoon, our Chief Financial Officer, to provide additional detail on our third quarter results and financial position.
Tae-Sik Yoon: Thank you, Todd, and good morning, everybody. Today, I will be discussing and reviewing the financial results of the company for the third quarter and discuss in more detail our continued progress in optimizing our balance sheet, including lowering the cost of debt funding, diversifying our sources of debt capital and freeing-up additional sources of new investable capital. So let me start off with our financial results first. As Todd stated earlier, our consolidated net income for the third quarter of 2014 was $4.1 million or $0.14 per common share, consisting of $4.9 million profit in our principal lending business and an $800,000 loss in our mortgage baking business. The decline in net income for our principal lending business versus second quarter of 2014 is primarily attributable to approximately $125 million in anticipated prepayments of senior loans that we experienced in third quarter. Fortunately, we were able to partly mitigate the impact of prepayments by originating seven new senior loans, totaling $235 million commitments during the quarter. Nonetheless, prepayments did have an adverse impact on third quarter results for principal lending. At quarter end, we had 43 loans totaling more than $1.4 billion in commitments and $1.2 billion of outstanding principal, with 95% of portfolio comprised of floating rate loans. All of our loans continue to perform in accordance with their terms and we have no delinquencies and no impairments at September 30, 2014. In our mortgage banking business, which we call ACRE Capital, we rate locked $51 million of Fannie Mae DUS loans during the third quarter. Again, significantly below our objectives, due to the continued stabilization of the business that we acquired about a year ago, in the third quarter of 2013. However, as Todd noted, we have made significant progress and expect that our origination activities and therefore our net income will ramp up meaningfully in the fourth quarter of 2014. As our production team gains more traction and time in the market, we expect production volume to grow meaningfully in the fourth quarter. In addition, as we are substantially complete with our restructuring and consolidation efforts at ACRE Capital, we do not expect to incur $250,000 to $500,000 dollars of expenses in the fourth quarter that we experienced in the prior quarters of this year, as part of the now complete restructuring effort. Now, let me turn to a few comments about our continued success in optimizing our balance sheet. Let's begin with our success in lowering our cost of debt capital. A year ago, at the end of third quarter 2013, the weighted average cost of our total debt capacity for our secured funding facilities, through which we finance our senior loan, was LIBOR plus 2.43%, excluding the amortization expenses. In comparison, as a result of further reductions in borrowing spreads and successfully closing two securitizations in the past 12 months, the weighted average cost of our total debt capacity for secured funding facilities and securitization, through which we finance senior loans, including undrawn commitments, is down to LIBOR plus 2.15%, again excluding the amortization expenses. So overall, we are down about 25 basis points to 30 basis points in borrowing cost over the past year. Second, in addition to lowering the cost of our debt capital, we have significantly expanded our debt capacity and diversified our sources of debt capital. For example, on July 30, as discussed on our last earnings call, we closed a second $75 million revolving credit facility with City National Bank with support from our manager, Ares Management. And shortly thereafter, on August 13, we added a new source of financing through a new facility with Metropolitan Life Insurance Company. Having this $180 million facility from a well-regarded insurance company enhances our sources of liquidity and adds to our ability to capitalize in the current market opportunities to owners of commercial real estate. And most recently on August 15, we announced further improvements on our capital structure with pricing of our second securitization transaction by selling $309 million of investment grade bonds to third-parties, while retaining $70 million of non-investment grade securities. The initial coupon is LIBOR plus 145 basis points before expenses and represents a compelling source of financing for senior floating rate assets. At the end of third quarter 2014, our total debt capacity stands at $1.7 billion versus just over $500 million at the end of third quarter 2013, so more than a 3x increase. In addition, we have diversified our debt funding sources to include warehouse lines at four different banks, an insurance company as well as successfully issuing two securitizations. Finally, one last point about optimizing our balance sheet. We have been able to free up additional leveragable capital that we have utilized to fuel the growth of the company without the need to raise new common equity. In fact, in 2014 alone, we have freed up nearly $150 million of such leverageable capital from various sources, including the two credit facilities totaling $125 million with City National Bank and approximately $20 million of incremental proceeds from the August securitization. Going forward, we expect to continue to optimize our balance sheet, as we ended the third quarter of 2014 with a debt-to-equity ratio of 2.5:1, we believe that we have significant capacity on our balance sheet to continue to originate new loans and grow our business without the need to issue new common equity. Now, let me provide a snapshot of our current capital availability. Subject to obtaining financing commitments in accordance with the terms of our existing funding and credit facilities, we expect to have capacity to fund approximately $280 million of additional senior loans going forward, assuming a debt-to-equity ratio of 3:1. And finally, before turning over back to Todd, let me address the question that we often receive about rising interest rates. More specifically, we are asked whether our earnings would be adversely impacted, if short-term interest rates go up. Fortunately and by design, because 95% of our assets in our principal lending business are floating rate and we have match funded our liabilities with floating rate debt, we are well-positioned to benefit in a rising interest rate environment. So in fact, if LIBOR rises, we expect our net income to rise commensurately. So with that, I will now turn the call back over to Todd.
Todd Schuster: Thanks, Tae-Sik. While our third quarter results were primarily impacted by lower production within our mortgage banking business, we are already experiencing a meaningful improvement thus far in the fourth quarter. Looking forward, our principal lending business continues to perform well, as we obtain attractive new investment opportunities across the capital structure. Our mortgage banking business is poised to expand, as our new production professionals gain traction and as we capitalize on a broader GSE product offering and some seasonal tailwinds. This improvement gives us confidence that our fourth quarter earnings are on track to earn our quarterly dividend of $0.25 per share. With a diverse source of revenue streams and optionality for higher interest rates to drive greater principal lending earnings, we believe our company is well-positioned to deliver attractive earnings and dividends, as we look into 2015 and beyond. Before we take questions, I wanted to welcome Rob Rosen, as our new Chairman of the Board of Directors. Rob has been a Board Member of ACRE since the company's inception. I have had the pleasure of working with Rob, as Board Member and in my current role, and greatly admire his commitment and contribution towards building ACRE. Rob has a distinguished professional career with 35 years of leadership as a Senior Executive and Director in financial services, healthcare services and real estate companies as well as private equity firms. Rob is also an Operating Advisor to the Ares Management Private Equity Group and is an inaugural member of Ares Capital Corporation's Board of Directors. I look forward to working with Rob more closely in his new role, as we continue to build a leading commercial real estate business at ACRE. This concludes our prepared remarks. Operator, please open up the lines for Q&A.
Operator: (Operator Instructions) Our first question comes from Dan Altscher with FBR.
Dan Altscher - FBR: I had a question little bit about ACRE Capital first. I think the call referenced a couple of times that mortgage banking was a little bit below expectations. Can you maybe help quantify how much maybe it was below what you were thinking, and maybe perhaps more importantly, why it ended up being below those expectations?
Todd Schuster: Yes, I would say a few things. First of all, I mean I don't think we anticipated a huge quarter in the third quarter out of ACRE Cap. With that said, we certainly anticipated something greater than $51 million, probably something more in line with what we did in the second quarter, just kind of as a generic reaction to the question. But I can tell you that sort of towards the end of the second quarter we were beginning to see meaningful pipeline activity as a result of all of our repositioning efforts with ACRE Capital. And ultimately, it just took a little longer than we had anticipated for the pipeline to kind of materialize.
Dan Altscher - FBR: Given that fourth quarter increased to $200 million to $250 million it's a pretty big number now, you're clearly on your way, it looks like so far with some fourth quarter activity, but there's still a lot that needs to be done to reach those numbers. So how or why are you so confident then that fourth quarter can reach those big increases?
Todd Schuster: Well, I guess, I'd agree with you that there is a lot to be done, but I just want to add there's a lot that has been done. And if you kind of look at the pipeline that we have right now, it is in a much more advanced stage in terms of where deals are in there kind of normal lifecycle. So we feel pretty confident about the numbers that we just put out there, the $200 million to $250 million, very confident.
Dan Altscher - FBR: And maybe just other quick one, and then I will drop off. Just kind of parsing the comments together from the call and then press release, Q2 seems like it's going to be more of a normalized -- or I shouldn't say normalized, 4Q should look a little bit more like Q2 in terms of principal lending, then there should be a good ramp in mortgage banking. So is that kind of the right way to take the $0.25 to $0.28 that fourth quarter in the lending business is probably a little bit north of $0.20 or around $0.20 and then mortgage banking is the difference
Tae-Sik Yoon: I think your general comment about fourth quarter principal lending being somewhat closer or somewhere to second quarter is generally correct. When we talked last time on our earnings call, I think we advised that third quarter, in particular would have some volatility due to prepayments. And obviously, both Todd and I remarked about the impact of the prepayments in the third quarter. Fourth quarter, we don't expect prepayments to impact the fourth quarter results as directly as it did third quarter. So I think your general comment about fourth quarter principal lending results being somewhat akin to second quarter is generally correct.
Operator: Our next question comes from Steve DeLaney with JMP Securities.
Steve DeLaney - JMP Securities: Let me say at the outset to just given the lumpiness, we really appreciate the view ahead to fourth quarter, I think it will serve everyone well. Maybe to start with Tae-Sik. You guys have a convert that you put on at the end of 2013, I guess. I think 7% coupon. It would seem that, I think it was a three-year deal, so we're really looking at that borrowing and looking at it's having essentially one-year to go. Tae-Sik, I wondered is that issue, is that callable at this point or when might it be called?
Tae-Sik Yoon: The first convert that we did, the $69 million convert was done in December 2012. And you're absolutely right, there's three years term. And so the due date would be December 2015. Like most converts, we do not have a callable feature to it. Obviously, there are other strategies that we could follow. For example, we could try to simply purchase the outstanding convertible notes, but we do not have a right to call it per se.
Steve DeLaney - JMP Securities: So you'd have to let that basically run its course before you could look to replace that funding?
Tae-Sik Yoon: Or as I mentioned, either run its course or look to potentially buy it back early.
Steve DeLaney - JMP Securities: Shifting over to ACRE Capital and the new Freddie Mac license that you obtained back in August, I was just curious if that is already benefiting your pipeline? Didn't if any of the producers that you have brought on have a long record with Freddie and you have already seen some benefits of the addition to the broader product set?
Tae-Sik Yoon: There is no question it's helped energized or reenergized the origination system. We will absolutely close -- shouldn't say absolutely, but we will close loans in the fourth quarter. And Freddie Mac, we will start to see that activity pick up in the fourth quarter and then certainly in the first quarter as well. So we will see Freddie Mac activity. It really helps the originators in the field when they have multiple products that they can sell. So all-in-all, the Freddie Mac acquisition has been very valuable for us,
Steve DeLaney - JMP Securities: And Todd, taking that thread a step further. Freddie has our small balance product and I believe just in the past year, they've added a manufactured housing product like Fannie Mae does as well. So when you look at Freddie, do you look at all those product offerings from Freddie Mac as well as just the traditional program plus?
Todd Schuster: Yes. So right now, we're focused on the traditional program, if you will. But we constantly evaluate some of their other products and are obviously discussing internally whether or not we want to participate in some of those other products. Of course, it's up to Freddie as well, it's not just a unilateral choice on our part, but we're constantly looking at the product offerings that Freddie has and make decisions accordingly. But I will tell you, we're very focused on kind of the main line product right now. We're trying to stay extremely focused and really get this pipeline moving through the system and get our closings up.
Steve DeLaney - JMP Securities: And talking about just the repositioning broader at ACRE Capital, I'll recall in my notes somewhere from last call or from conversations, I believe you said you had 12 producers there. Is that still accurate?
Todd Schuster: Yes. That's about right.
Steve DeLaney - JMP Securities: So I know this is kind of forward thinking, and I'm trying to stay out of guidance. But if you have 12 established producers, and just kind of what the normalized annual production is for these types of originators, how can we view, based on what you have in place now, what the annualized capacity of that origination team might be relative to the numbers that kinds of we're putting up now? Understanding that there's lumpiness, but you could say third quarter, fourth quarter combined, you've got a $50 million number and a $250 million, so let's call it $300 million, double that to $600 million, is that capacity or should we think of capacity as being a multiple of what the annualized 3Q, 4Q originations might be?
Todd Schuster: So it's great question. I kind of think of it in a couple of different ways, Steve. First of all, if you kind of take our range from fourth quarter, we're going to do somewhere around, call it $400 million for the year, in a year that we were repositioning the business. So we fully expect to do meaningfully more next year. And we're continuing to build the business. So if rates and the GSEs and everything cooperates fourth quarter of 2015 should be better than fourth quarter of 2014, just as a general matter. And moreover, I'd quote a statistic, it may not be exactly right, but the way I think about the business is about 65% of the business gets done in the second half of the year and 65% of that gets done in the fourth quarter. So there is some seasonality of the business. So if you start to kind of do some math around what we think fourth quarter '15 will be better than fourth quarter of '14, and maybe 35% of that business happens in the fourth quarter, we can start to do some math around that I guess.
Operator: Our next question comes from Jade Rahmani with KBW.
Jade Rahmani - KBW: I'm just following up on that last point. Can you elaborate on the outlook post-4Q, for example to what extent is the pick up in ACRE Capital attributable to seasonal factors rather than the repositioning? And on the loan side, how do you plan to offset compression and loan yields, since it looks like you're originating loans at around LIBOR plus 3.75% or a maybe a touch higher versus your current blended average, excluding origination fees of around 5.2%?
Todd Schuster: So look, I think in the mortgage banking business, it's a building business for us, right. So there is seasonality that I just described. But in addition, the overall business, the level of the overall production should be building as well, so you're seeing in the fourth quarter and you'll see that hopefully over 2015 play out. And as it relates to the question about spread compression on the principal lending business, we have seen spread compression. I don't know, I'm not necessarily predicting meaningful more spread compression. It could certainly play out that way. We're actually starting to get a sense that some of the regional banks are getting a little more full on their product, and maybe that will have an impact on the market. The risk retention rules probably won't have a meaningful impact for a year or so, because that's a two-year kind of implementation. But as a general matter, spreads have come in on the left side, but as Tae-Sik noted in our financings, for example, on the securitization of LIBOR plus 145 basis points, they've clearly come in on the right side. So what we're seeing is our ROAs are in and ROEs might be impacted, but not nearly as much as you would suspect by just looking at the ROAs.
Tae-Sik Yoon: Jade, one thing to clarify there, just to make sure we're comparing, I would say sort of apple-to-apple in terms of spreads and yields. So I think what you're referring to in terms of suggesting the 3.75% as our current spread, we obviously listed a couple of recent deals that we've closed and that range from LIBOR plus 3.75% to LIBOR plus 3.95%, again none of that includes the amortization of fees, both front-end fees and exit fees. Whereas the 5.2% that you referenced, which is really 5.1% at the end of September 30 for our senior loans, that includes the fees. And so if you look at the weighted average interest rate without the fees, you see it's about 4.6%. So I think that's probably a better comparison of sort of the existing yield of our existing portfolio versus what we are seeing currently in the market. And again, I would just caution that three deals that we've identified as having close since quarter end, is three loans, it's not necessarily representative example of exactly all the loans that we will be doing going forward.
Jade Rahmani - KBW: In terms of your interest expense, the impact of the amortization of deferred financing fees was I think about $3 million or so this quarter. Is that a line item that includes anything unusual? And also, to what extent was there an impact from prepayments on any of the product that you've securitized, since I think those are fixed pools?
Tae-Sik Yoon: Sure. No, that's right. I think when we have loans in either of our securitizations, and those loans prepay, what we will do is we will also accelerate the recognition of deferred financing fees related to those two securitizations. So for example, in the third quarter, when you look at our total interest expense included in that $8 million interest expense for the quarter is a little bit more than $1 million of securitization costs that we accelerated due to some prepayments of loans that occurred within the first securitization that we did. In addition, there was approximately $400,000 of other expenses associated with putting in place the second securitization that we should not have on a going forward basis. So that's right, I think of that $8 million in interest expense you do see a significant portion being attributable to the acceleration of deferred financing fees, as well as some one-time fees associated with the second securitization that we completed.
Jade Rahmani - KBW: Is it fair to say that about $1.4 million might be considered -- is $1.4 million of the $8 million might be considered elevated?
Tae-Sik Yoon: Well, I would say they are certainly one-time in connection with the securitizations. Obviously, to the extent that we have more prepayments within the securitization of loans in the securitization, we will continue to amortize or accelerate the recognition of those deferred financing fees. The good news is that we also have deferred revenue of one-time fees that we get, both front-end and back-end fees that we would also recognize in the interest income. So for example, just to give you a number for the third quarter, so the amount of interest expense that we recognize on an accelerated basis was the $1 million, again part of the deferred financing costs. To offset that we had about $735,000 of interest income that we recognized as accelerated deferred revenue on the same loans that prepaid in the securitization.
Jade Rahmani - KBW: Can you also discuss your prepayment expectations? I think Todd alluded to some prepayments you expect late in the fourth quarter. But also just on a go-forward basis, I mean I think I've seen reports noting and it's also probably a function of yield compression, but reports noting a pick-up in refis out of CMBS, since those loans originated a couple of years ago, are now attractive to refinance.
Todd Schuster: Real estate is a somewhat of a tax driven business, and as a result you see often times a flurry of activity towards the end of the year. So we have not experienced any prepayment activity in the fourth quarter, but we do expect some by the end of the quarter. It's a little tricky to predict, because these notes, the notes that the borrowers have usually provide for like 30-day notice or something like that. So we don't always know exactly when those prepayments are coming in. We try to stay very close to the borrowers in the servicing and asset management of the loans and sometimes we get an earlier read in that respect, but as a general matter there's just kind of 30-day provision and that's kind of the lead time that we can get as it relates to prepayment.
Jade Rahmani - KBW: And lastly, I just wanted to ask, since I saw three of the deals you did this quarter were in New York City. If you could provide a view on the New York City market, given how high land prices have risen and the pipeline of new developments?
Todd Schuster: New York City continues to attract capital from North America and Europe and Asia as well. It is magnet, it's a capital magnet. We like New York a lot, but we like a lot of other cities in the U.S. a lot as well. But in the case of New York, we think, listen, you could have some occupancies move up and down a little bit within modest ranges or rents move up and down within kind of modest ranges, but as a general matter we like the outlook for New York quite a bit.
Operator: Our next question is from Rick Shane with JPMorgan.
Rick Shane - JPMorgan: I thought the answer you provided to Steve DeLaney was very helpful and I'd love to explore that just a little bit further. One of the pieces of math that you can do off of that is sort of using the seasonality that you described, and the originations at that you're projecting in the fourth quarter determine a run rate headed into 2015, and I think that's a useful exercise. Two questions there. One is how much pull-forward, given the weak third-quarter do you see in that fourth quarter number? Is it a little bit inflated because of that? And the follow-up to that is, as we head into 2015, if we start to see the run rate in the fourth quarter as a base rate plus or minus, what do you think the growth potential from there is? Obviously, we're not going to get the doubling or tripling we saw quarter-over-quarter. Is this a business, given market share opportunities, that's a 10%, 15% platform growth opportunity?
Todd Schuster: So couple of ways to think about it. The production in the fourth quarter, you would kind of sort of come to the conclusion that it's kind of pulling third quarter production into it. I kind of think of it a little differently, since we've been repositioning the business, it's more about sort of when the stabilization starts to hit of the business, and that's what we're seeing in the fourth quarter. We thought we see more that in the third quarter, but it's really beginning to stabilize now in the fourth quarter. Going forward again, I mean it's hard for me to get granular review on the production levels and the increases, but I will just again, tell you that, I believe that fourth quarter 2015, kind of all things being equal in the market, will be higher than what we're experiencing in 2014. And I think clearly, the first three quarters we had in 2014 are not reflective of a stabilized business or what we think this business can do.
Rick Shane - JPMorgan: And, again, I think the incremental information you guys provided today was really helpful in terms of sort of understanding what the potential is in the third and fourth quarter each year. With the idea that you guys are start laying out channel markers, in terms of where you think the business is sort of going to range between, on the low end in the first and second quarter of the year, what percentage of the annual production would you normally anticipate, based on seasonal trends you had seen in the past?
Todd Schuster: You can see anywhere, 35% to 45% of your business can come in the first half of the year. 40% is maybe a good number. I know I said 65% in the second half, but maybe 40%, especially if you have a strong fourth quarter, a feet off of going into the early part of the year.
Rick Shane - JPMorgan: And does that skew into the second quarter at all? Is there a dip in the first? It sounds like that you just said that there probably isn't.
Todd Schuster: I'm sorry, repeat the question I didn't get it.
Rick Shane - JPMorgan: Is there any, because of the substantial volumes in the fourth quarter, would we expect Q1 would be the lowest of the year? It sounds like you just suggested that Q1 and Q2 might be more on parity with one another?
Todd Schuster: Not always. It doesn't always fall into a rhythm. They are generally in parity. Again, this is a business for us that's building, so we just expect to see more production than what we've obviously seen in 2014 in those quarters, substantially more. So it's going to be hard for you to drive any conclusions until you see my guess is a full year production. But as a general matter, we should see a lot more production in 2015 than we saw in 2014.
Rick Shane - JPMorgan: And guys, I know there are enormous number of variables. I appreciate you guys willing to help us at least understand the parameters in a better way.
Operator: The next question comes from Charles Nabhan with Wells Fargo.
Charles Nabhan - Wells Fargo: Just a broader question on the multifamily market. I was wondering if you could comment on some of the newer products at Fannie and Freddie, in the extent to which the could help drive overall market share for the GSEs within the multifamily market, heading into 2015?
Todd Schuster: I'm going to come at the question a little more generically, but look in the first six months of 2014, the GSEs were down meaningfully, something like 50%. And then came back fairly aggressively starting in the third quarter. The GSEs I think are committed to maintaining a meaningful market share in the multifamily space. And they might ebb and flow a little bit during the course of the year. I don't think you'll see the kind of ebbing that we saw sort of late in 2013 and early in 2014. But you will see some ebb and flowing around the numbers, but as a general matter the GSEs are committed to the space. And we're seeing it in terms of the thinking they're doing around their products, how they're executing, the leadership that they're providing in their businesses, so we're seeing it in a multitude of ways. But it definitely appears like they are very committed to the space and to meaningful market share.
Charles Nabhan - Wells Fargo: And as a follow-up, could you give us a sense for the timing of your third quarter originations relative to the repayment? I believe you may have touched on this, but it would seem based on our numbers that the good majority of those originations were back weighted within the quarter? Is that a fair estimate?
Tae-Sik Yoon: Yes. I think in terms of third quarter, timing did have impact on the results for our third quarter. And while we did originate more loans and prepaid in the third quarter, timing was such that much of our prepayments happened earlier in the third quarter and much of our pipeline in the third quarter closed towards the second half of the third quarter.
Operator: Our next question comes from Ken Bruce with Bank of America Merrill Lynch.
Ken Bruce - Bank of America Merrill Lynch: My first question, really, I recognize that ACRE Capital in the mortgage banking business can be volatile at any point in time. So appreciate that this is maybe a difficult question to ask on a very narrow basis. But is there anything in the quarter that you can point to that led to the reduced volume? Was it things that we're in pipeline, but sell out because of changes in rates? Was the pipeline just didn't build over the period that you had expected for either competitive pricing reasons or I mean what was the real dynamic behind the shortfall, if you could provide any dimension to that?
Todd Schuster: I know you're looking for kind of a very granular answer there. But I'm going to say what I said before, which was, we were beginning to see a meaningful pipeline of business. We had done a lot of work and made a lot of investment around repositioning the company. And I just think that it took a little longer to reach some kind of level of stabilization in the business than we had anticipated. And we think we're through the bulk of that now, and we think the fourth quarter is going to show, it's going confirm that.
Ken Bruce - Bank of America Merrill Lynch: I mean, certainly it sounds that way from your short-term expectation. As you think about the current 12 producers, is that a number that you want to see how that basically begins to perform on a volume basis or would you be thinking about adding to that in this market? How are you thinking about growing the platform overall?
Todd Schuster: So we're always looking for very talented folks in the business, especially on the production side. So if there is a originator in the market that we can hire that we think is additive in a meaningful way to our business, then we would of course have a dialogue and try and bring that person on into our shop. But as a general matter, we're not looking to staff up in a meaningful way. At this point, I would argue we're looking to kind of more slowly grow our sales force, especially when you think about what we did last year in terms of kind of bringing on a whole new crew of originators. We are looking to kind of stabilize that group now, get them to work together, keep them focused, get the production in the door. Achieve what we want to achieve in 2015, which is substantially more production than we did in 2014, and if there is good people to hire along the way, we'll hire them.
Ken Bruce - Bank of America Merrill Lynch: So is it fair to maybe characterize that, as you want to optimize the current platform, if there is opportunities to be somewhat more opportunistic with an individual or a group than that's fine, but really you're looking to essentially get this platform optimized?
Todd Schuster: Yes. The existing platform can do substantially more business than it has done. And in addition, I would say, it's fair to say that we would consider modestly growing that platform, if the right folks come around.
Operator: Our next question comes from Don Destino with Harvest Capital.
Don Destino - Harvest Capital: I am pessimistic I can drill down a little more after, I thought, Ken did a pretty good job of asking my first of two questions. But it's hard for us to understand what happened in mortgage banking in the third quarter. I mean I get repositioning, which is a pretty generic term. But you're down substantially from the second quarter based on what other public companies did. Your market share was down even more so. And it would be really helpful if -- if you lost an employee or if there was something else other than kind of repositioning, we were disappointed, it would be helpful to then gain confidence that there is a stabilization and that the fourth quarter is a good run rate, and then we could grow from there? So again, I thought Ken did a great job of asking the questions. I didn't learn anything else. I am not sure if the way I asked it will bear any more fruit. But if you could try, and then I have one follow up.
Todd Schuster: What I can say is we're confident in the levels we gave you for the fourth quarter of $200 million to $250 million. The pipeline today is in a much more advanced stage than it was at the beginning of the third quarter, in terms of not only loans that have already rate locked, but loans that are kind of in a cube sort of ready to rate lock. So we just think the pipeline is much more advanced than it was. And third quarter was effectively, I know you don't necessarily like the answer, but it's the product of not having a stabilize business at that time. And I think now we're moving much more directionally towards having a business that's kind of stabilized and we're seeing that in the form of a much more advanced pipeline.
Don Destino - Harvest Capital: And then, the second question around Tae-Sik's discussion of capital availability. Can you just give us some assurance that -- I heard you in terms of how much business you can do and how much you can add to the balance sheet with current capital? Can you just give us some assurance that the price at which you could execute, actually price and equity raise have to be substantially higher regardless of how much you grow over the next two or four or six or 10 quarters, that those that own it or that are considering buying the stock need not worry about another capital raise below book?
Tae-Sik Yoon: I think we have said in the past and I'll reiterate here. And certainly, at where our stock is trading at today, we do not have any interest in issuing new common equity at that level below book value. Book value right now is slightly above $14. And today stock level, we certainly don't have an interest in issuing new common equity. In terms of our capacity, as I mentioned, we have significant capacity, as it stands right now. We actually also expect to have incremental capacity over and beyond what we have today, because we do continue to have assets that we can leverage going forward. We ended the third quarter with the debt to equity ratio of 2.5:1. So I think you'll agree with us that we have capacity in today's market to further optimize that balance sheet. And that is really the basis of our plans to capitalize the growth of our business and to optimize the balance sheet further, so that we can free up additional capital to grow the balance sheet further. But we do not need to do that at this point with the need to raise common capital.
Don Destino - Harvest Capital: Look, just don't mean to be critical, we own the stock, we think it's a very misvalued company. And just getting that mortgage banking business going, which is an asset, but I don't think you're getting any credit for whatsoever I think is key. And that's the reason I'm kind of just drilling down on making sure I understand what happened. Keep up the good work. And I'll talk to you guys offline. Thanks.
Todd Schuster: Thank you.
Tae-Sik Yoon: And we appreciate your comments.
Todd Schuster: Yes, appreciate the comments and the questions. And if it's not coming through it should. We are optimistic about the fourth quarter for that business.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Todd Shuster for any closing remarks.
Todd Schuster: Thanks Chad. I just want to thank all of you for your participation on today's call. And we appreciate your support and look forward to talking with you all next quarter. Thanks everybody.
Operator: Thank you. Ladies and gentlemen, this concludes our conference call for today. If you missed any part of today's call, an archived replay of this conference call will be available approximately one hour after the end of this call through November 24, 2014, to domestic callers by dialing 1-877-344-7529, and to international callers by dialing 1-412-317-0088. For all replays, please reference conference number 10053849. An archived replay will also be available on a webcast link located on the home page of the Investor Resources section of our website. Thank you for attending today's call. You may now disconnect.